Operator: Welcome to the Wintrust Financial Corporation Q2 2013 Earnings Conference Call. (Operator instructions.) And as a reminder, this call may be recorded. Following a review of the results by Edward Wehmer, Chief Executive Officer and President, and David Dykstra, Senior Executive Vice President and Chief Operating Officer, there will be a formal question-and-answer session and instructions will be given at that time. The company’s forward-looking assumptions are detailed in the Q2 Earnings Press Release and the company’s most recent Form 10(k) and Form 10(q) on file with the SEC. I will now turn the conference call over to Edward Wehmer.
Ed Wehmer: Thank you. Good morning everybody and welcome to our call. With me as always are Dave Dykstra, our Chief Operating Officer; Dave Stoehr, our Chief Financial Officer; and Lisa Pattis, our General Counsel. We will conduct the call in the usual format. I’ll just in general comment on the quarter; Mr. Dykstra will take you through a detailed analysis of other income and other expenses, then a little summary from me with some forward-looking comments and we’ll follow that with some questions. So looking at Q2 all-in-all we’re very pleased. It was a good quarter across the board with earnings up 34% over last year and $2.2 million over Q1 2013 driven really by our core loan production which was up $617 million quarter-on-quarter end balances over the March quarter-end. Our pipelines remain consistently strong with gross of $1.2 billion and $825 million weighted as to the probability of close within the next six months. Our pull through rates though a little staccato has been pretty good. Part of that loan growth related to the acquisition of our Lansing Bank and some was a little carryover from Q1, but all-in-all still very strong loan growth. And momentum seems very good there. This resulted in an increase in the yield on earning assets of 7 basis points to 4.04% total earning assets. Couple that with a three basis point decrease in cost of funds and our margin increased from 3.41% in Q1 to 3.50% in Q2. After our designed shrinkage last quarter customer growth returned with total assets up $537 million over Q1 and $1 billion over the same period last year. $365 million of the growth related to the acquisition of First Lansing which closed on May 1, 2013. As a side note, these smaller acquisitions that we’re doing have not only been good for us strategically but they also come with a great deal of excess liquidity. Our loan production is able to utilize that liquidity almost immediately. Expense reductions on these deals kind of come at a later date and they’re really conversion-dependent. So the conversion of First United Bank of Crete which we acquired Q3 of last year on September 28 was just converted this quarter. Lansing isn’t going to convert until late Q3/early Q4 so the expenses will come out of this. So the point being these deals have worked out very well for us and there’s still some upside as it relates to cutting expenses for us when we get conversions done. Deposit growth was also very good for the quarter. Demand growth, we continue to grow our demand deposits – they hold at about 17% and our goal is to be north of 20% there as an ancillary benefit of continuing to execute our middle market strategy. On the other income and expense front, which Dave will take into more detail, we had a strong mortgage quarter. Current projections for the short term don’t show a slowdown, a material slowdown in that business. We’ve been able to garner pretty good purchase activity as opposed to refi. We also, and we don’t talk about this often, had a strong wealth management quarter aided both by the market and by new business generation. This is in all lines of our business, so trust, brokerage, and asset management. You’ll note we did have an operating gain from the fair market value of our interest rate caps. This is part of our overall strategy as it relates to managing our interest rate sensitivity. You know that we didn’t have much of covered call options, and these all kind of fit together in how we manage the entire balance sheet. I know many of you back these out but it really is an integrated strategy that we’ve used for years and we continue to use. So covered call’s income was down because we’re certainly not going to be buying up longer-term securities and trying to lock in a rate right now forever, but at the same time over the past year we’ve been laddering in interest rate caps. To this date we have about $875 million of face value of these things. We consider this kind of an insurance policy for us but we do not get hedge accounting on this so we have to mark it to market every quarter. You know, the logic behind this is every day we get closer to rising rates. When rates rise the mortgage business as many of you point out will slow down, hopefully not as much for us as for other folks because of the mix that we have and our previously-stated goal of being one of the consolidators of that retail business as the market shakes out. But it will go down. Also, as rates go up and the yield per loan doesn’t go up simultaneously so there’s a little delay in the benefits that we will achieve – because of interest rate sensitivity positions and because of the nature of our deposit base there will be a little bit of a delay. So this is kind of a bridge for that and it’s just part of an overall strategy that we employ on interest rate sensitivity, and it just seemed like the right thing to do at the time because these things were (inaudible) cheap and it’s worked out very well for us and should continue to do so. So accordingly, the rise in the long end of the curve results in another $3.7 million on gain for us this quarter. Expense control actually was pretty good. I know expenses were up but if you take out the effects of variable cap and credit they were actually down about $900,000. We continue to believe we have a great deal of excess leverage in this system. As I stated earlier, taking advantage of that leverage is one of our strategic goals going forward. On the credit quality side, our nonperforming assets kind of rebounded from last quarter’s blip and we continue the process of, as we’ve always referred to it as “landing the plane” – kind of getting back to our normal credit metrics that we’d experienced before the cycle hit. Comparatively we’ve always had lower credit metrics but again, we’re trying to get back to those ultra-low credit metrics that really are indicative of the credit policies that we employ here. NPAs as a percent of total loans decreased to 0.97%, the lowest level since Q3 2007. Charge-offs and OREO expenses are still much higher than we would consider to be normal run rates but we take a different approach on this. I mean we dig very deep and we push assets out. We try to liquidate these. Who knows when the next deal is coming, when the next bad deals are coming, when the next cycle is coming? So our approach is to identify them, move them out, take your losses and move on. Industry practice has been for a lot of folks is “Hang on, hang on, hang on; we’re fine, we’re fine, we’re fine,” and then they have a blow-up and then they write it down and then they’re fine, they’re fine; and then they sell it all at $0.50 on the dollar. We’ve never done that. That’s not been our approach. Our approach is to identify and to move the asset out, take your lumps and move forward. All that being said we expect that there’s no assurances in this because it is what it is in our book, but we expect credit to continue to get better throughout the rest of this year – and it might take a little bit into next year but maybe not to get back to those normalized numbers. And we feel very good about that and we will have a pristine portfolio at that point in time. But again, it is what it is. With that I’ll turn it over to Dave to go over our income and other expenses.
Dave Dykstra: Thanks, Ed. I’ll briefly touch on the noninterest income and noninterest expense section. Turning to the noninterest income section, our wealth management revenue as Ed referred to improved by $1.1 million to $15.9 million in Q2 compared to the previous quarter’s total of $14.8 million; and increased very nicely from the year-ago quarter of $13.4 million. If you look at the trust and asset management revenue component of wealth management income, it increased by $905,000 to $8.5 million in Q2 this year from $7.6 million in the prior quarter. The increase in the trust and asset management revenue was a result of two new months of revenue from the First Lansing Bancorp acquisition and their trust business, trust customer tax preparation fees that we received in Q2 as well as growth in the assets under management from new customers and market appreciation. Brokerage business revenues also saw an increase of $159,000 in the quarter over the prior quarter, and those increases were just generally from increased client trading volumes. Turning to mortgage banking, mortgage banking revenue increased by 5% to $31.7 million in Q2 2013 from $30.1 million recorded in the prior quarter; and it was up 24% from the $25.6 million recorded in Q2 last year. Despite the declines in origination-related activity for refinancing activity, the increase in originations related to home mortgage purchases resulted in an overall mortgage banking revenue during the current quarter being the second-best result in the company’s history. The company originated and sold $1.05 billion of mortgage loans in Q2 compared to $974 million of mortgage loans originated in Q1 this year and $854 million in the year-ago quarter. We generated a relatively strong volume related to the purchase home activity which represented approximately 55% of the Q2 volume, and we continued to benefit from good pricing metrics in the market. The current quarter also benefited from a slightly higher valuation in the fair market value of our mortgage servicing rights, 87 basis points from 72 basis points in the prior quarter. The value of the MSR portfolio is approximately $1.3 million more than the value at March 31st. Future mortgage origination volumes and mortgage servicing rights will obviously be impacted by and be sensitive to changes in interest rates and the strength of the housing market, and although our pipeline for mortgage refinance business has softened recently with the higher rates our pipeline for home purchase business remains very healthy and we expect mortgage revenues to remain relatively strong in Q2. As Ed mentioned, the fees from the covered call options were down slightly this quarter and they totaled $1.0 million compared to $1.6 million in the previous quarter, and $3.1 million recorded in Q2 last year. We have consistently utilized these fees from the covered call options to supplement the total return on our treasury and agency securities held in the portfolio to offset the margin pressures caused by low rate environments. And these fees are impacted by market rates and market volatility – in a rising rate environment we generally see the less fees on these covered call options. Offsetting that though if you turn to the trading gains as Ed mentioned, we had $3.3 million during Q2 2013. This compares to a trading loss of $435,000 in Q1 of the year and a trading loss of $928,000 in the year-ago quarter. The trading gains in this quarter and the losses in the prior quarters were primarily the result of the fair value adjustments related to interest rate contracts that are not designated as hedges, primarily the interest rate cap positions that we use to manage interest rate risk associated with rising rates on various fixed-rate, longer-term earning assets. Ed talked about our strategy there. It is one that we’ve employed over the course of the last five quarters, and generally the trading income and loss line numbers are predominantly a change in the market value from our cap transactions. Miscellaneous noninterest income continues to be positively impacted by interest rate hedging transactions related to customer-based interest rate swaps. The company recorded $1.6 million in revenue in Q2 2013 compared to $2.3 million in the prior quarter and also in Q2 last year. Additionally, many of you like to know the income that we realized on our limited partnerships in bank stocks that we invest in, and we had a positive valuation adjustment on those this quarter of $562,000 compared to $1.1 million in the previous quarter and only $65,000 in Q2 last year. As we turn to noninterest expense, it totaled $128.2 million in Q2 2013. This is an increase of $8.1 million compared to the prior quarter and an increase of $11.0 million or 9% compared to Q2 last year. As we noted in our news release, the total noninterest expenses were generally effectively managed as evidenced by an $888,000 decline from Q1 when you exclude the OREO expenses, variable compensation expenses and the expenses associated with the First Lansing Bancorp acquisition. Specifically, the First Lansing Bancorp acquisition that was closed on May 1st added approximately $1.2 million to the total noninterest expenses during Q2. Looking at some of the individual categories, salary and employee benefit expense increased by $1.7 million in Q2 compared to Q1 in the year. If you exclude the $595,000 impact of the First Lansing acquisition this category of expenses increased approximately $1.1 million. Contributing to this net increase was approximately $3.9 million in increased bonus and commission expenses that were driven by increased earnings and higher revenues in the mortgage banking and wealth management segments, offset by approximately $672,000 in lower salary expense and $2.1 million in lower benefit expense which were primarily payroll tax related. Turning to OREO expenses, Q2 saw a $3.9 million increase in net OREO expenses resulting from a net OREO loss in Q2 of $2.3 million, compared to a net gain of $1.6 million in the prior quarter. The net change is primarily the result of a $3.4 million gain recorded on one large OREO property in the prior quarter. Of the $2.3 million of OREO expense in the current quarter, approximately $1.5 million related to operating expenses. So the majority of that cost now is operating expenses rather than valuation adjustments, and as the portfolio declines we would expect to see those operating expenses also decline. Page 39 of the earnings release provides additional detail on the activity in and the composition of our OREO portfolio which increased approximately $908,000 to $57.0 million at June 30 from $56.2 million at the end of the prior quarter. However, it should be noted that the Q2 end OREO balance included approximately $6.8 million related to the acquisition of First Lansing Bancorp, and without that acquisition-related addition the balance would have declined $6.0 million from the prior quarter. All the other noninterest expense categories were generally well managed and within the normal range. So in summary, as I noted earlier noninterest expenses actually declined by $888,000 if you exclude the OREO change, the variable compensation-related expenses and the First Lansing Bancorp acquisition-related expenses. We continue to believe we’ve got operating leverage in our system as we continue to grow, convert our recent acquisitions to our data processing platform, and as we continue to work through our nonperforming assets. We’re focused on it and we’re working diligently, and we expect to achieve improved operating leverage throughout the course of the year. So with that I’ll turn it back over to Ed.
Ed Wehmer: Thanks, Dave. So to summarize we’re really pleased with the quarter, the trends and I think they really bare out the execution of the plan that we’ve been laying out to you for a long time. Our ROA of 80 basis points is up from 63 basis points a year ago and we’re continuing on the road to be north of 1%. In actuality, if you just took our credit losses back down to what we would consider normal, which is normal being $6 million to $7 million a quarter, we’re already at an ROA over 1%. Add to that if we are able to continue to execute our plan, which includes leveraging our expense base – so bringing on growth without a commensurate increase in expenses – we think there’s upside there also. To note, this quarter is probably the first quarter that I can say that we were back to our asset-driven approach. Now many of you who have watched us and known us for a long time know that prior to, well since our inception up until 2006 when we went into our rope-a-dope strategy, we were always asset-driven – we always had more assets, generated more earning assets than we needed. And that allowed us to grow underneath and build the franchise value of the organization. Now we hope this trend will continue, momentum and every indication appears that we should be able to continue to grow our earning asset base, which should allow us to grow organically at very profitable spreads without that commensurate increase in expenses. So we’ll see if this sustains or whether this was just a blip, but it would appear based on what we know right now that we’re back in the asset-driven mode. Our model had always been “It’s assets, stupid, but not stupid assets,” and we’re back to that. On the acquisition front for Wintrust we continue to be very active in all lines of business, looking at opportunities and we will continue our prudent approach to this and not do anything stupid I guess is the best way to put it. So we’re very busy right now in that regard and looking at opportunities, and trying to find that pony that’s buried in there someplace. So all-in-all we like where we stand right now. I guess I should say we really like where we stand right now and how we’re positioned. We like our prospects for success and we have to execute, and nothing is for certain but we really like our positioning right now and feel that we’re executing the plan that we’ve laid out to you previously. So with that we can open up to questions.
Operator: Thank you. (Operator instructions.) Our first question is from Jon Arfstrom of RBC Capital Markets. Your line is open.
Jon Arfstom – RBC Capital Markets: Thanks, good morning guys. A question for you on the margin: what is the biggest driver do you think of the margin expansion? Is it just loan growth being funded by cash? And if that’s the case is there more to come here or do you feel like 3.50% is the right margin level for the company?
Ed Wehmer: You know, that’s a good question. We still have some movement in the liability side of the equation – I said that what we’ve paid on, our paying liabilities is down three basis points, and we think there’s still some room there; certainly not what there had been in the past but there’s a little bit of room there as CDs mature, we’ve got some trust preferred securities that were swaps that are running off where we have pre-bought a swap on that and a cap on that. We’ll be cutting those expenses materially on that particular one. So the liabilities side is actually contributing but it is moving liquidity assets into good loan growth. And our loan growth, although we talked about the competition in Chicago for C&I and that sort of thing, we’ve told you always that we have profitability models and we stand by them. And so in the middle market side you may get a little bit less on the loan volume, or on a commercial loan you may get a little less yield than you’d like but it’s made up with ancillary businesses, deposit businesses and fees and the like. But at the same time we’ve got premium finance business which has grown nicely, commercial real estate you’ve seen has jumped up a little bit as we’ve seen a lot of rebound real estate come in – good deals within our parameters. So we’re able to blend that nicely. So your question is 3.50% a comfortable number? I’ll go back to what I said one or two calls ago – I think there’s probably a ten- or twelve-basis-point swing on either side of that because it’s life isn’t linear. We may end a quarter with a little bit more liquidity and it’ll go down a bit, and we may end a quarter with a little bit less liquidity. So we think that’s a reasonable range if that answers your question.
Jon Arfstom – RBC Capital Markets: Yeah it does. It seems to me that if you keep doing what you’re doing that’s got to go up.
Ed Wehmer: Well certainly noninterest income will go up which is the important thing.
Jon Arfstom – RBC Capital Markets: Yeah. I guess the other question was just on mortgage, and I’m sure there’ll be other questions on this but you talked, Dave, you said it was strong in Q2; and Ed, you said no material slowdown. I’m just curious how much of this is going to be purchase as we move forward versus refinance? And is Q2 still refinance-driven to keep that number relatively flat or is it more purchase driven?
Dave Dykstra: In Q2 – Jon, this is Dave – it was about 55% purchase/45% refinance. The pipelines are looking more like it’s in the 70% range purchase for where we’re at right now, and that could change over time during the course of the quarter. But clearly it’s being driven more by the purchase business now than the refinance business, but the refi’s are strong and the purchase business has been able to fill the void of the decline in the refinance business. And as Ed said, we’re continuing to look to pick up additional producers and other smaller brokerage companies out there that can also fill in. We think there’ll be consolidation as the time moves forward, but in the near term here what’s keeping it strong is the purchase market.
Ed Wehmer: And I would say, Jon, just to comment on the last part of what Dave said – we’ve said before on these calls and to a number of you individually we could see that the mortgage business itself, when it starts slowing down a little bit is people are going to drop out. There’s going to be disruptions and there’s going to be consolidation in that industry. And we’re starting to see some of that already in terms of opportunities. Again, we’re very discerning in what we look at but I think that you know, it may be lumpy but we should be able to – by picking up market share as the industry consolidates, you know, our goal over the long term is to maintain a pretty good mortgage business here. And we think that as I said, it may be lumpy, it might not be good for anybody trying to model it because it could be you go down a couple quarters. But we think there’s a consolidation opportunity here over the long term which should keep these numbers relatively strong if you look at them over a longer period of time.
Jon Arfstom – RBC Capital Markets: Okay, alright. Thanks.
Operator: Thank you. Our next question is from Terry McEvoy of Oppenheimer. Your line is open.
Terry McEvoy – Oppenheimer : My first question is I would say investor criticism over the years has been for Wintrust has been great growth story but criticism on the expenses and ROA and just general profitability. You spent a lot of time today talking about expenses and right on the highlights for the quarter in the press release you talk about the effective expense management. Is there a new philosophy or a new thought process as it relates to managing expenses going forward that is different from the past that can drive an improvement in profitability?
Ed Wehmer: That’s a good question, but you have to remember from a biased standpoint I think that criticism was relatively ill-founded during our early days. Remember, we started in the end of 1991 with nothing and we were building a franchise, we were investing in a franchise. So we were doing a lot of it de novo – we spent those expenses up front and earnings down the road. And we would ask investors back then “Would you rather have a 30% increase in earnings or do you want us to stop and be at 1%?” or be at whatever the metric was at that point in time and not grow? And the answer was “No, keep growing your earnings,” which we believe was the right answer and it served us very well. Then we hit the 9/11 and the rates went to zero. I mean we have moved up to close to (inaudible) assets at that point in time we continued to reinvest it underneath it. And then from 9/11 till now we’ve had a low and bold will. You can really argue the fact that it’s been a crummy rate environment for somebody who is funded like we are funded with the conservative, classical type of funding of the organization. So yeah, everybody’s earnings came under pressure during that period of time and then we didn’t play in the reindeer games of the big, in 2006 to 2009. But we’ve always said and we haven’t gotten away from this, is that in the old days we ran banks and we never made less than 1.75% on assets and we’ve always been looking at profitability. We’re big enough now as we work out of this. We do look at expenses as a mature bank. We know what they need to be. It’s a different… We’re not doing as much de novo; it doesn’t need as much upfront investment to do it – not that we’re afraid to start a business and do that if it makes sense but from a materiality standpoint it doesn’t affect us as much as it did when we were smaller. So you know, if you take the credit, you look at our efficiency ratio it’s as good or better as anybody else’s right now. You have to look at our mix of business and bring it up, but we have every intention of being extremely efficient. We know that we have excess leverage in the system right now and we’ve been saying for a number of quarters that our goal is to utilize that excess leverage and grow without a commensurate increase in expenses. And we believe we can do that. So to say it’s a new emphasis? No. To say that it’s coming to the forefront a little bit more, yeah, just because we know that we have leverage in the system. That’s why getting back to being asset-driven is so important, that there’s growth that we can experience and if we can do it without a commensurate increase in expenses that’ll be very important to us. So we’re all over it I guess is the way to say it, but you have to put it into context.
Terry McEvoy – Oppenheimer : I appreciate that. And then just one follow-up: you mentioned the strength in wealth management in Q2 and you talked about just looking at a lot of acquisition opportunities. Are the opportunities primarily bank-focused or could some of them be either wealth management fee-generating or maybe some specialized lending areas?
Ed Wehmer: Terry, we’re active on all fronts – the mortgage side, the wealth management side, the banking side and the specialty asset side. We see opportunities every week on those. Some are you know, they’re opportunities. Now, you triage them pretty quick and figure out what you want and what you don’t want and go through it, but we are interested on all fronts and as we always have been that makes sense to our shareholders to go through it. We believe on the banking side and still believe that there’s going to be a five-year contraction. We think there’s still a lot of pain out there as indicated by the number of banks that we have been in and done due diligence, and come out saying “There really isn’t a deal there yet until they get healthier.” But we think any bank under $1 billion in a metro area is going to be very hard for them to compete going forward. We think that they’re coming out tired and we think over time it’s taking them longer and longer to get healthy. In the old days you could get rid of a bad loan and reinvest that in something you could make a spread on. Right now in this zero rate environment these banks are having to put it out at 0% and they can’t earn out of it as fast as they’d like. So it’s going to take a little bit of time but at the end of the day, because of the regulatory costs, because of the competitiveness in this market for earning assets; because of the regulations related to concentrations and the like a lot of these banks aren’t going to be able to thrive like they were and many of them are very tired. So we see there’ll be great opportunities there. We also see that on the mortgage side, that as Dodd-Frank and the CFTC make their way into the mortgage broker end of the world and those regulations take place, I think these guys are just trying to ride out this last wave. And we haven’t had an uptick in incoming calls from people looking to partner up with us but again, we’re very discerning when we look at that and who knows what’ll ever happen out of it – but we see great activity in those. The wealth management side is there but not as… New opportunities are not falling on us as frequently as they are in those two other areas. So we continue to look at all aspects of our business and we see a lot of opportunities. We’re able to look at a lot of opportunities and we’ll go from there.
Terry McEvoy – Oppenheimer : I appreciate it, thank you.
Ed Wehmer: Thank you.
Operator: Thank you. Our next question is from Chris McGratty at KBW. Your line is open.
Chris McGratty – KBW : Good morning, guys. Dave, on the $1 billion of mortgage production in the quarter could you maybe comment on the production kind of by month, maybe compare April to June?
Dave Dykstra: Well, we’re shuffling through papers here… You know, it was relatively consistent each month, Chris. It wasn’t a big fluctuation up or down from any month. I don’t have the exact numbers but it was really in the $300 million’s each month.
Chris McGratty – KBW : Okay. And what was the pipeline today? I think you said it was still strong. What was it today versus the end of March?
Dave Dykstra: I’d say it’s pretty similar right now. It’s more purchase. The mix has changed but the pipeline right now is pretty similar. Now we’ll have to see what that translates into as pull through obviously to make sure it stays, and whether it carries through to the last month of the quarter or so, but right now we’d look at it and say it’s very similar to where we were at three months ago – it’s just the mix has changed.
Chris McGratty – KBW : Okay, and then one last one on the mortgage: what are your expectations given the rate move in the quarter, maybe looking out to next year in terms of the decline in origination volumes? I think the MBA has it down 30%; I was wondering what your forecast projects.
Ed Wehmer: I don’t think that’s too far out of the question in terms of refinance. I think purchases will stay strong. We have been, and we’ve said this in previous calls – we’ve really been hitting that channel very hard, working on developing relationships with realtors and attorneys and the like so that we can be a real player on the purchase side of things. We’ve actually even, well… So the important thing about it is yeah, if rates go up and refi’s fall off you will lose some revenue. We still have 23.0% so if we drop, if 45.0% of our business is refi and it drops in half so we lose 22.5% of our refi business, we’ve got about 25.0% of our labor force and the like in that business is variable – those costs are variable. So we can collapse it right away so we wouldn’t experience a loss in it. But we think when that occurs we will have opportunities to pick up, that the market’s going to consolidate. So long term we think we’ll be in pretty good shape, but you know, in six to eight months from now if refi’s are down 25% we would lose a bit of profitability. But remember, not all of that falls to the bottom line. It’s what – 12% pretax? You figure half of it goes out to the brokers, so if you get down to that and then you’ve got 25.0% or so, 25.0% to 30.0% in costs so you’re down to 20.0%; after tax you’re around 12.5%, 13.0% that falls to the bottom line. So you can run the numbers on that but it’s not as devastating as people make it out to be. But we actually think when it happens it’ll be a great opportunity for us long-term to get market share and to grow. At the same time, rates will be going up and our caps will kick in and kind of bridge over that as would pricing on assets. So we think we have a pretty good plan for rising and falling rates right now and we’re very, very – and as I’ve said in the past, rising rates are the beach ball under water for us. We’ve worked very hard to position our balance sheet to take advantage of that and in the meantime we’re playing on the field that’s given to us which is the zero rate environment; and working to get north of 1%. If rates go up that’s just good for us and our margin and our profitability going forward.
Chris McGratty – KBW : That’s what I wondered – given the market share comment and the disruption in the market earlier this week, any interest in presumably getting a little bit bigger in the mortgage business if a business came up for sale?
Ed Wehmer: Yeah. We’re looking at… We have opportunities; we think that that’s actually going to occur. We think that that market is going to consolidate but again, you’ve got to have a very good cultural fit. We’ve done a number of deals in the mortgage business. We’ve bought River City up in Minneapolis; PMP basically doubled our size. Our modus operandi has really been to pay nothing upfront and pay it on an earn out so we don’t put our shareholders with a lot of risk and which kind of almost guarantees if you run it properly that any deal you pick up would be accretive to you. So we will be, we actually believe that we will be growing in that business and that the disruption, not the disruption but the… Well, call it the disruption is going to make that business consolidate.
Chris McGratty – KBW : And you’d be okay with a national mortgage business – it’s okay with you guys?
Ed Wehmer: We’re already in it. We already have a national mortgage business.
Chris McGratty – KBW : Okay, thanks.
Dave Dykstra: The only thing I would add to that is we’re not too interested in businesses that do wholesale lending. We’re interested in those that have similar cultures and do a lot of retail lending.
Ed Wehmer: We don’t do wholesale lending right now. We don’t like that business. I won’t gave you the analogy that I gave somebody earlier with Lisa sitting here but call me offline – I’ll tell you the analogy that I use when I look at the wholesale mortgage lending business.
Chris McGratty – KBW : Good enough, thanks.
Operator: Thank you. Our next question is from Brad Milsaps of Sandler O’Neill. Your line is open.
Brad Milsaps – Sandler O’Neill: Hey, good morning guys. Just a couple questions on the kind of components of the margin. Ed, it looks like your loan yields actually went up a couple of basis points. Do you think that the market in terms of what other banks are willing to offer is beginning to stabilize in terms of what you’re seeing in fixed rate or variable rate product that’s out there? Could we kind of see your loan yields flatten out from here which would certainly be a help to the margin?
Ed Wehmer: Well, I don’t think the market has changed that much but I think our discipline… I know our discipline hasn’t changed and our profitability models haven’t changed. I think some of it had to do with we are getting some deals that we just booked, we got some better deals and some of it had to do with mix. We had a nice increase in premium finance loans and in commercial real estate which bears a higher rate than what we’re seeing in the middle market right now. But we’re always striving for higher rates. Do I think it’s getting worse? No. I think that we have bottomed out in terms of how low can you go in terms of competitive pricing. Now, I say that (inaudible) but I think it bottomed out and I think if anything that the pendulum will start swinging back towards better pricing.
Brad Milsaps – Sandler O’Neill: Okay, and then Dave, in terms of the liquidity management assets I see the linked quarter reduction in average balances but you had a nice move I guess up about 20 basis points in the yield. Is all that really just, since I can’t see the components but is all that really mix change – you know, reducing Fed funds? Anything else you’re doing in the bond portfolio that would have driven that up so much this quarter and really since the end of the year?
Dave Dykstra: No, Brad, I’d say it’s really just a mix change. I mean if you look at our balance sheet and you look at interest bearing deposits with banks, that’s really our money sitting at the Fed which is making overnight money rates. And at December it was $1 billion, at March it was $685 million and now it’s down to $440 million at the end of June. So the increase is really getting rid of 25-basis-point money and what’s left is a little bit higher yielding. So we’re not going long right now as I mentioned earlier; it’s really just getting rid of some of the short liquidity that’s earning the overnight rates and the result is that the remaining portfolio yields higher.
Brad Milsaps – Sandler O’Neill: Okay, and then final question: I think, Ed, you mentioned in the release maybe five new branches over the back half of the year. How do you sort of balance it out with what might be out there to acquire and actually maybe consolidating some locations as you look at your acquisition plans?
Ed Wehmer: That’s a good question. We do have the big map, the “world according to Ed” as these guys refer to it; and we know where targets are, where smaller banks are that fit our parameters. And where we’re moving into with these branches are places that wouldn’t be an opportunity for us to grow elsewhere or we think there’s a low probability for us to get in there elsewhere. So one of the branches we acquired from the Northern Trust they’re closing down, and one was an old bank building that the FDIC sold off. So there were just opportunities to go in and do this in areas where maybe there wouldn’t be an acquisition opportunity or not one that we’d be interested in. So it is strategic, there is a map. We know where we want to be and where we want to go, and we’re opportunistic when opportunities come up.
Brad Milsaps – Sandler O’Neill: Okay great, I appreciate the color. Thank you.
Operator: Thank you. Our next question is from Emlen Harmon of Jefferies. Your line is open.
Emlen Harmon – Jefferies & Co.: Just a couple quick ones on loan demand. You noted in the release, we actually saw in the credit line the allowance for undrawn commitments came down because of- [technical difficulties]
Dave Dykstra: That was a specific reserve against that letter of credit knowing that it would probably have to be funded to the beneficiary and unfunded. So once it funded that credit discount went away that we had there. So that really had nothing to do with more lines of credit being utilized; it really had to do with one specific instance with one specific credit that we acquired in an FDIC deal.
Emlen Harmon – Jefferies & Co.: Got it.
Ed Wehmer: As it relates to utilization that hasn’t moved, that needle hasn’t moved. Our growth is strictly picking up market share across the board. The only place where you could see any sort of increase in ticket size is the premium finance business as that industry, the premiums continued to harden. We’re getting back to normalized numbers in terms of average ticket size for premium finance which is a good thing for us. I mean the average ticket size was always $27,000 in that business. In the cycle when premiums went way down we were at $19,000. That’s back up to a little over $23,000 right now and working its way up. And that’s just gravy because the average ticket size goes up, it doesn’t cost us any more to do that – it’s just more outstandings in probably our highest asset yield class. But other than that our commercial business is just picking up market share. We’ve got a lot of momentum out there. You know, our advertising has been working; people are talking because we’ve been able to garner market share and our customers who we survey regularly are feeling really good about coming over – and they like the relationship, they’re talking. So we’ve got a good vibe going here. I think every one of my competitors now in some place or another said they are the premier middle market lender in the Chicago area, so I’ve got to think of a better term than “premier.” What’s higher than premier? But we’re that whatever it is, just to outdo them once. But no, we haven’t seen any increase in line utilization. Hopefully we will and that again would be nothing more than a pickup for us.
Emlen Harmon – Jefferies & Co.: Okay. And in the past you’ve given us kind of what your six-month commercial pipeline is. Do you have that on hand today?
Ed Wehmer: Yeah, I did. I’m going to go back – I gave it in my original comments.
Emlen Harmon – Jefferies & Co.: I’m sorry, if you gave it in the prepared I must have missed that.
Ed Wehmer: No, no – I’m happy to repeat myself here. It’s consistent with what it’s been in the past, about $1.2 billion gross, around $865 million weighted.
Emlen Harmon – Jefferies & Co.: Got it. And then just one I guess quick last one: on liquidity and kind of a model liquidity you have to kind of churn into the loan book, you brought that down a little bit in bringing down bank deposits this quarter. But kind of how are you thinking about the liquidity that’s left to roll in the loan book?
Ed Wehmer: Well, we’re getting back to that asset-driven mentality again. When we’re generated more assets than we needed allow us to start rebuilding these franchises, taking advantage of the leverage we have in the system. And so we take advantage of the leverage; we build franchise value by getting more and more market share in the system because we know we have assets to cover. And for the first time in a long time we’ll see if we can maintain this but we’re kind of back to where we were, back to the future if you will. We’re going to run at 85% to 90% loan to deposit. We were up a little over that on an average basis this quarter but 85% to 90% is the number we’ve always used and we’ll continue to do that. As we get close to that 90% number that’s a good thing because it allows us to go out and start getting aggressive in terms of picking up and building the franchise – building these underutilized franchises we’ve picked up in acquisitions. That being said, I also stated earlier that these smaller deals that we do usually come with a great deal of liquidity. Like Lansing I think came with $140 million worth of excess liquidity that we were able to sop up right away with loan demand. So there’s opportunities there but we’re going to run at 85% to 90% like we always have, and to the extent that we go over that that’s a good thing and allows us to keep building out the infrastructure without the commensurate increase in costs. That’s good for the bottom line.
Emlen Harmon – Jefferies & Co.: Got it. Alright, thanks for taking the questions.
Operator: Thank you. Our next question is from Steve Scinicariello of UBS. Your line is open.
Steve Scinicariello – UBS: Good morning everyone. Just a couple of quick ones for you – so just given the recent acquisition in your backyard, I’m just kind of curious of your take on how this may or may not change the competitive dynamics in your market, whether it’s pricing or even potentially providing you some more growth opportunities.
Ed Wehmer: Was there a deal done here? [laughter] Well you know, we’ve had to compete with both so I’m happy for them. I think it’s a nice deal for those guys but we’ve competed with them in the past. So from our perspective it takes a competitor out of the market. They will come together – will they be stronger or do things differently? I don’t know but we will look forward to competing with them. But anytime that there’s any change in the market that leads to disruption in the market and we’ve made a living out of standing underneath all the disruption with our net and catching the good things that fall out. So we look forward to competing with them. In the words of my favorite movie The Godfather we wish them the best of luck as long as their interests don’t conflict with ours. But we think if anything it takes a competitor out. There’ll be opportunity and we look forward to it.
Steve Scinicariello – UBS: That makes sense and you know, I don’t know also just on the pricing side of the equation, too, I don’t know if it helps maybe bring a little more rationality in some segments or not. But it seems like a good potential opportunity for you. And then just the other one I had for you was when I look at kind of the adjusted pipeline, you have conversion rate still at 70% plus on your pipeline – a great number. What do you think could drive it even higher?
Ed Wehmer: All my competitors getting out of the market. [laughter] One of the things about working with a pipeline is making sure that the guys are honest when they put stuff in. And we are absolutely “Garbage in, garbage out.” We go in and back test this stuff, so if Loan Officer A says “Hey, I got $500 million booked, and I give it an 80% probability that number comes through,” he gets slapped upside the head. We think it’s just we’ve got really good data and we push them on this so that we can plan accordingly. So it’s more really good data than it is on the pull through side of things. Now, the other part of that question is why are we getting so many good leads, and it’s really I think I mentioned earlier – I think our advertising has been working as we blended a large Wintrust into small delivery that we’ve always had and not really lost our culture in doing this; but it has resonated with the community that we can give that old-fashioned-type service but still have all the capabilities of a large bank. And we’ve kept our discipline here, too. So I think our real secret is our ability to get birds up that we want to get up, and just I’ll add one more thing to that: the old American National philosophy, remember, our middle market guys and our commercial guys all have American National Bank DNA in them. And American National had half the market in the old days and LaSalle had half the market. The American National guys look at the market, they look at the whole middle market. They define the middle market; they look at it, they take all the prospects. The decide which ones they want, they cull it and their whole approach was to stay after it and be relentless until you got the business. So we’re very focused on who we’re going after. We don’t have guys out there who are just cold calling and knocking on doors. This is a really coordinated, relentless approach that these guys have utilized in the past that’s paying dividends for us right now. They’re real pros at this and they’re doing a great job. So the real secret is get the birds up, and they’re doing a wonderful job at doing that and getting really good data. That’s the pull through.
Steve Scinicariello – UBS: Great, great color as always. Thank you.
Operator: Thank you. Our next question is from Herman Ching of Wells Fargo. Your line is open.
Herman Ching – Wells Fargo: Thanks. Within your commercial balances it does seem like asset-based lending really helped propel those balances higher in the quarter. Can you talk about what type of lending you do there and is that lending confined to your local markets? Thanks.
Ed Wehmer: The ABL side of the equation? Was that your question?
Herman Ching – Wells Fargo: That’s right.
Ed Wehmer: We do not have a national ABL business but anything that we do has to really have a local market nexus. So you may end up with a piece of business that’s in Phoenix or someplace around the country but it’s really a Chicago-based, a Milwaukee-based company that we’re dealing with. We do not have any desire to be a national ABL. I think that business you like to be able to go out and kick the tires and see what’s going on and be close to it and understand it better. Not that other people, you know, other people have a different expertise and it works really well for them; we just, with our skillsets right now we think we’re doing the right thing in that regard. We are getting some additional traction in that business just as a result of the calling efforts of the middle market team and the commercial team that I mentioned earlier. There’s just more birds popping up; because of the nature of their business they’re subject to the ABL approach. Our ABL team is pretty strong. They have a lot of experience, especially in the local market. And it’s not too often when we get a client up that somebody in this organization hasn’t had a relationship with them already. And that’s very helpful to us in terms of segregating who we want and who we don’t want in getting this business in. So really what our calling efforts have led to is as the portfolio grows there’ll be more ABL in it on a proportional basis.
Herman Ching – Wells Fargo: Understood. And another question on M&A, in recent years the bank’s been more focused on smaller deals both on the assisted side and the whole bank side. But what about a more transformational type of acquisition? How would you characterize your appetite to partner for a larger type of transaction in your Chicago market? Thanks.
Ed Wehmer: Well, you’re talking about me and appetite, that’s an interesting equation. But we think that the opportunities are in the $1 billion and under banks. Culturally they fit very well with us. And Chicago is overbanked – you know the history, the last state to change their bank laws, many community banks in this town. That’s one of the reasons we’ve been able to succeed is that people are used to that type of delivery approach. So culturally that’s the segment that really is consolidating right now. You can get them, they’re less expensive. Our structure is one that allows us to do a number of those and like I said earlier, we have a map – we know where we want to go, we know who the targets are. We know we want to be Chicago’s bank which means we have to serve all areas of Chicago so we know where we want to be. And that’s the approach that we’re taking. We think that’s where the opportunity is. We think that’s where the return for shareholders are going to be and our acquisitions to date have shown that. If you relate to larger and more transformational deals, there’s only a couple out there that you could be referring to and you know, I don’t know. I think everybody has got their game plans and they’re going forward, and we’ll talk to anybody about anything. We have a fiduciary obligation to do those types of things. But you know, my history just – and this won’t preclude a discussion with somebody – but MOEs, you know, very rarely work. And I think you can look back and see historically that that’s the case, and it’s all cultural. What do you really get? So I respect our guys. Our competitors all have a game plan, they all seem to be doing well and we look forward to competing with them again as long as their interests don’t conflict with ours. And something (inaudible). We really are focused on that other area. We are the perfect partner for these guys just because of the cultural side of the equation. We’re a consortium of community banks – that’s our culture. These guys fit right in. They know the towns. We can do our shtick there and people want to come to us because we do that. We’re not the commoditizer, the “We’re going to come in and shut everybody down.” We want to grow those institutions when we get them. So that’s where our focus is.
Herman Ching – Wells Fargo: Understood. And last question for me on Mortgage Warehouse: last quarter I believe you mentioned you guys saw a pickup in new clients. Was that new clients really driving those Mortgage Warehouse balances higher in Q2 and further, you also mentioned the competition last quarter for that particular loan type had affected balances in Q1. So I’m curious to know how pricing trended for you guys in Q2. Thanks.
Ed Wehmer: We did not change our pricing but we did pick up additional clients.
Herman Ching – Wells Fargo: Okay, thank you very much.
Operator: Thank you. Our next question is from Stephen Geyen of DA Davidson. Your line is open.
Stephen Geyen – DA Davidson: Hey, good morning guys. Just a question on the premium finance business, and maybe if you can touch on each of them separately – the commercial and the life. But I’m just curious, certainly it looks like there’s some seasonal factors with the increase and the growth that we’ve seen but maybe like year-over-year what’s driving it? Is it the size of the relationships, pricing, market share gains? Where are you seeing the growth?
Dave Dykstra: I wouldn’t say it’s really seasonal. I mean January and July tend to be higher months because they coincide with December renewals and June 30th renewals. But the growth really is, as Ed mentioned earlier we’re seeing the market hardening a little bit. We are, we backed off of doing some of the larger deals because the pricing got awfully tight but we’ve done a few more larger deals recently where there pricing has rationalized a little bit there. And we’re picking up market share, so it’s sort of all of the above. But I wouldn’t say there was much seasonality in Q2; it’s really increased ticket sizes and picking up new volume from our customers.
Stephen Geyen – DA Davidson: Okay, thank you.
Operator: Thank you. Our next question is from John Marren of Macquarie Capital. Your line is open.
John Marren – Macquarie Capital: Good morning. Hey, most of mine have been asked and answered; I have one ticky-tack one on mortgage, just kind of circling back on gain on sale. Dave or Ed, it sounded like $1.1 billion sold this quarter versus $975 million round numbers last quarter. What was the actual gain associated with that?
Dave Dykstra: We haven’t broken that out separately. For components we have secondary market gains and we had certain fees and market servicing rights, etc., but the pricing was very stable Q2 to Q1.
John Marren – Macquarie Capital: Okay.
Dave Dykstra: As far as ours, we saw the pricing stay very stable. I mean it might have fluctuated five to ten basis points but it was very stable.
John Marren – Macquarie Capital: Okay, so gain on sale margins essentially unchanged then.
Dave Dykstra: Yes.
John Marren – Macquarie Capital: That was the only one that I had remaining, so thanks very much.
Dave Dykstra: Okay, sure.
Operator: Thank you. Our next question is from Peyton Green of Sterne Agee. Your line is now open.
Peyton Green – Sterne Agee: Good morning. I had a question just to clarify on the loan to earning asset mix or the loan to deposit ratio. I mean pulling down the liquidity management as it’s been good for the margin, I mean how much of the balance is required for pledging on deposits?
Ed Wehmer: Of the securities portfolio?
Peyton Green – Sterne Agee: Yeah.
Ed Wehmer: We’ve got, well $500 million, $600 million in bank deposits overnight and the rest is in securities. I can’t tell you that offhand. Maybe Dave, you know the…
Dave Dykstra: I don’t recall. We have it in our Form(q) but I don’t recall it off the top of my head right now Peyton.
Ed Wehmer: We do get the benefit, Peyton, of our max safe account. Because of the 15 charters we can offer 15x the FDIC insurance and in a lot of smaller municipalities we deal in we’re able to accommodate them with that package and not have to put collateral up. So that’s helpful to us. But we don’t have the number but we can get that to you.
Dave Dykstra: And we certainly have, we’re not close to being maxed out there if that’s your question because we reduced the liquidity more. But we’re sort of at that point now where loan to deposit ratio is in the low 90%s and we generally like to run from 85% to 90%. So to the extent we get additional loan demand we’ll probably put on additional funding also which is good because we can increase the franchise through deposit growth in these underutilized smaller branches that we’ve acquired. But we’ve always said 85% to 90% is sort of our desired area; we’re right at the top end of that so could we take the liquidity down a little more in the short term? Yep. And do we have liquidity that could go away? Certainly. And in fact, if you look at the $440 million, that’s all sitting at the Fed and so clearly that’s not pledged to anybody. But you certainly I don’t think would go down much more than that. So if the question is do we have availability to take it down more it’s certainly yes, but it’s not our desire to go down too much more.
Peyton Green – Sterne Agee: Maybe I’ll ask it a different way. If you had a static liquidity management asset base and loans grew $1.5 billion over the next year would you be perfectly comfortable funding it with just $1.5 billion of deposits at the margin or would you be willing to say “We’ll fund it with $1.250 million of deposits and $250 million in borrowings?” Or how do we think about the margin if the liquidity management assets stay flat but you still have loan growth driving the balance sheet growth which is going to change the earning asset mix and the deposit leverage?
Ed Wehmer: The liquidity mix is going to increase because we’re running at 85% to 90% loan to deposit, we’ll go out and start bringing deposits in. So the liquidity base would actually increase.
Dave Dykstra: If your loans went up $1 billion you would probably say about 10% of that would go into liquidity because you’d be 90% loan to deposit. I mean you’ve got capital [limitations] there but roughly speaking that would be the case. So we would probably actually increase the liquidity a little bit as the balance sheet grows.
Peyton Green – Sterne Agee: Okay. Because if you’re going to say “90% loan to deposit and we’re there, if we grow our loans we’ll keep a little bit more liquidity.”
Ed Wehmer: Peyton, it sounds like you have a strategy you want to lay on me. You can call me afterwards.
Peyton Green – Sterne Agee: Oh no. I guess my only question is if deposit balances were flat on average linked quarter, and I’m just trying to understand what does it take to grow deposits $1.5 billion I guess is the real question.
Ed Wehmer: Well, through acquisitions and through marketing. This is the first time like I said we’re asset-driven again. We haven’t had to worry about this since really when we went into rope-a-dope and as we gear up and we’re going back to the future. That’s what we did for a living for a long time was open [smaller] banks and build them and gain market share. We have not done that in a long time. We’ve been growing through acquisition. And that’s where the leverage is that we can take these smaller banks that we’ve acquired and really start taking them to town and build franchises around them. We didn’t want to do it before and build up a bunch of liquidity and we had nowhere to go. But now being loan-driven, asset-driven, if we maintain this, this opens up the organic growth opportunities for us that we’re very well suited with, and again, back to the future for us.
Dave Dykstra: And if you look at the components, Peyton, all the deposit categories increased except for certificates of deposit in the last quarter. So we’ve left some of the people that maybe were in with just one CD that really have not taken other products – they’ve sort of gone out as our rates have come down, and we’ve let some brokered CDs run off. So we’re growing the other areas and you know, we thought it was prudent to get that mix a little bit better but we’ve got a lot of capacity to grow. We don’t have much in the way of brokered CDs or wholesale funding. So in the interim we can fix it but we’re going to grow the franchise for our retail marketing like Ed says; but in the short term we have lots of leverage we can pull. So whether it be wholesale funding on the non-deposit side or whether it’s some short-term brokered CDs to cover the gap until the retail deposits come in and the commercial deposits come along with the commercial business we can fill the gap. But we’re pretty confident in our ability to grow deposits.
Peyton Green – Sterne Agee: Okay. So my question is this. If we’re going back to where we once were and you relied on interest-bearing deposits to drive or to fund loan growth at the margin, really deposits have walked in the bank for the last four and a half years and you have to go to a more aggressive stance – I mean how much would you have to pay versus your lended interest bearing deposit cost of 47 basis points? I mean would you have to have the margin pay 20 basis points more to get money to kind of show up? I mean I’m just trying to understand where we are relative to what we’ve gone through.
Ed Wehmer: You know, that’s a complicated question because it gets into all our marketing strategies, our bundled account packages and how we go about doing this. I’m happy to take it up with you offline but it’s more complicated than I can answer here. Will it cost a little bit more than what we’re paying right now to go out and not cannibalize and [pulse]? Yeah, it probably will cost a little bit – five, ten basis points. But where we pick up the benefit of that, Peyton, is maybe 20 basis points. But you know, we’re not talking about a lot of money relatively speaking vis-à-vis the overall balance sheet. But we can bring this on at basically no increase in expenses. So everything falls to the bottom line. You’ve got assets yielding 4% and you’ve got to bring it out at 60 basis points, 70 basis points. So I’m making 330 pretax on that; it would take 30 basis points of expenses. I’m making 3% and after tax I’m making 180. That would be a good thing. So marginally speaking, you know, that works and that’s the benefit of having the leverage in the system that we have right now, that we waited to get back to being asset-driven so we could take advantage of this and it’s all accretive to ROA at the end of the day. So I can take it offline.
Dave Dykstra: Ed’s right, Peyton. It’s a mix issue. I mean CDs might be a little bit more costly than that right now, but if you’re bringing in money markets and DDA and the like, we’ll see where it goes. But it’s not just…
Ed Wehmer: The margin is very accretive to our ROA, the way we model it out. We can take you through it.
Peyton Green – Sterne Agee: No, I get that. But I guess just looking back over the past year I mean if you look at revenue growth of $21 million give and take and you’ve had expense growth of about $11 million, I mean is a 50% marginal efficiency ratio a reasonable way to think about it knowing that you’ve got kind of you consistently have growth initiatives going on?
Ed Wehmer: Less than that under the scenario that I’ve laid out.
Peyton Green – Sterne Agee: No, I know, but I guess my point is things always change and opportunities come up that you don’t necessarily have in the plan. I’m just trying to maybe think of a more practically conservative way as opposed to the model.
Ed Wehmer: We can talk offline.
Peyton Green – Sterne Agee: Okay, thank you.
Ed Wehmer: Thanks, Peyton.
Operator: Thank you. Our next question is from John Rodis of FIG Partners. Your line is open.
John Rodis – FIG Partners: Good morning guys. Most of my questions were asked but just a follow-up on the asset based lending. Can you maybe just talk about what sort of is the average ticket or loan size for deals you’re doing and what sort of rate are you getting on that today? Thanks.
Ed Wehmer: Not middle market – you want asset based?
John Rodis – FIG Partners: Yeah, the asset based lending, the growth you saw this quarter.
Ed Wehmer: In asset based or middle market?
John Rodis – FIG Partners: The ABL lending in commercial.
Ed Wehmer: The ABL I think is one of your better-yielding assets but it also has a number of fees and everything else associated with it. The average ticket size is probably $5 million to $7 mil*lion, somewhere in there on average. Some are $1 million; some are $10 million.
John Rodis – FIG Partners: Okay. So I mean but this quarter the growth was about $240 million over Q1 so were there any bigger credits in there this quarter?
Ed Wehmer: In ABL?
Dave Dykstra: We had fairly good growth. What we also had was [home] acquisitions – we did a little bit of re-class out of some of the other categories into the ABL. So some of that is a little bit of re-class as we scrub up these acquisitions.
John Rodis – FIG Partners: Okay, that probably explains it.
Ed Wehmer: Our whole, basically, generally speaking – I missed the acquisition side that’s on the ABL side. But generally speaking our hold limits are $25 million on any bigger transaction. Now we really like the $5 million to $15 million – I mean that’s where we like to play. We don’t go higher than that so there’s not any really like massive deals in there because it’s just we don’t do that.
John Rodis – FIG Partners: Okay. Fair enough, thanks guys.